Operator: Good day, ladies and gentlemen. Welcome to Vista Gold's Second Quarter 2020 Financial Results Conference Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. Today is Thursday, July 30, 2020. 
 It is now my pleasure to introduce Pamela Solly, Vice President of Investor Relations. Please go ahead, ma'am. 
Pamela Solly: Thank you, Brandon. Good afternoon, ladies and gentlemen. And thank you for joining the Vista Gold Corp. Second Quarter 2020 Financial Results and Corporate Update Conference Call. I'm Pamela Solly, Vice President of Investor Relations. On the call today is Fred Earnest, President and Chief Executive Officer; and Doug Tobler, Chief Financial Officer. 
 During the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of Vista to be materially different from results, performance or achievements expressed or implied by such statements. Please refer to our most recently filed Form 10-Q for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. 
 I will now turn the call over to Fred Earnest. 
Frederick H. Earnest: Thank you, Pam. And thank you, everyone, for joining us on the call today. I'll begin this afternoon by briefly addressing the COVID-19 pandemic, which continues to have a significant impact on human life and health and on the global economy. Vista's response to the COVID-19 pandemic has been to ensure the health and safety of its employees and other stakeholders. Corporate activities continue with personnel working remotely and on a limited in-office basis. Corporate travel and participation in conferences has been replaced by video conferencing. In Australia, our Mt Todd project is classified as a critical business and is operating under a COVID-19 management and mitigation plan. Direct costs to implement this plan were minimal. To date, our workforce and their families remain healthy. 
 Moving on to our second quarter results. I'm pleased to report that we strengthened our balance sheet through our ongoing efforts to monetize noncore assets, continued our business practice of maintaining our current shelf registration statement and associated agreements. Of note, our new shelf registration has a limit of $25 million, substantially less than our previous shelf that had a limit of $100 million. We continue to work with the Northern Territory division of mines in their review of our mine management plan. We also announced recent geological valuation results for areas adjacent to our planned Mt Todd mine and continued our efforts to identify and engage in discussions with potential development partners. 
 I'll discuss these topics in greater detail later in the call, but I will now turn the time over to Doug Tobler for a review of our financial results for the quarter ended June 30, 2020. 
Douglas Tobler: Thank you, Fred, and thanks to those on the call. We appreciate your interest today. Vista filed its most recent Form 10-Q yesterday. Today, I'll provide a brief overview of our results of operation and financial condition for the quarter ended June 30, 2020. For a more in-depth analysis, please refer to our Form 10-Q, which is out on our website. 
 For the quarter ended June 30, 2020, we reported net income of $1.9 million. That compared to a net loss of $3 million for the same period last year. There were 2 key drivers that account for this quarter's net income and the variance when compared to 2019. First, in May 2020, we received $2.4 million to cancel a portion of our royalties on the Awak Mas gold project in Indonesia. This amount, plus a related deferred option gain, resulted in recognizing a gain of $2.6 million. And secondly, our holdings in Midas Gold shares appreciated in value, which resulted in a $1.1 million gain during the quarter ended June 30, 2020. This was a complete flip from our second quarter of 2019 when we recorded a mark-to-mark loss on the Midas shares of $1.1 million. 
 Our net loss for the 6 months ended June 30, 2020, and 2019 was $1.6 million and $5.7 million, respectively. Again, this variance is largely accounted for by the gain recognized for Awak Mas and the mark-to-market adjustments for the Midas Gold shares. 
 Our net income reported for this quarter and potential future payments from agreements in place to monetize noncore assets supports our objective of sustaining our balance sheet while minimizing dilution. Working capital at June 30, 2020, was $4.8 million which was net of noncash deferred auction gains of $3 million that were included as current liabilities. Ignoring these noncash items, our current assets net of accounts payable and accrued liabilities was $7.8 million. This compares to our working capital at December 31, 2019, which was also $7.8 million. And we were able to maintain our financial position largely because of the Awak Mas transaction and Midas Gold shares, as we discussed earlier. We also benefited from limited use of the ATM program and maintaining our low expenditure profile. 
 And now while not occurring during the second quarter, we recently received the final $1.5 million payment from Prime Mining that was required to complete the purchase of the Los Reyes gold and silver project in Mexico. This transaction also requires Prime Mining to pay us an additional $2.1 million over the next year in lieu of being granted certain royalty and a back-in right. And as a closing note on our financial position, we continue to have no debt. 
 Looking forward, just briefly, we believe our existing working capital, together with the Los Reyes transaction, an additional option payment of $2.5 million due in April 2021 under the Awak Mas agreement and other potential sources of nondilutive financing will be sufficient to fully fund our currently planned activities for more than 12 months. 
 With that, I'll turn it back over to Fred. Thank you for your participation today. 
Frederick H. Earnest: Doug, thank you for that overview. I will begin with our achievements during and subsequent to the quarter ended June 30, 2020, and then provide an outlook for the remainder of this year. As most of you know, one of Vista's major objectives is to maintain a disciplined capital structure to limit dilution to our shareholders. One way we've been able to achieve this is through the monetization of our noncore assets. 
 As Doug mentioned earlier, during the quarter, we received $2.4 million from PT Masmindo to cancel 50% of the net smelter return royalties on the Awak Mas project in Indonesia. PT Masmindo retains the right to cancel the remaining 50% for an additional payment of $2.5 million by April 30, 2021. If PT Masmindo does not make the $2.5 million payment by April 30, 2021, Vista will retain the remaining royalty interest and can pursue alternative monetization strategies if we choose. 
 Turning to the Guadalupe de los Reyes project. In June, Vista amended the agreement with Prime Mining for the Guadalupe de los Reyes gold and silver project in Sinaloa, Mexico. The amended agreement accelerated the due date for the final $1.5 million payment, which was received by Vista in July, and provided -- and provides for an additional $2.1 million in payments payable to Vista in lieu of being granted certain royalties and back-in rights. Vista expects to receive the $2.1 million through 2 payments within the next 12 months. If Prime Mining fails to make the 2 payments, Vista will have the right to reinstate the royalties and back-in right. 
 During the quarter, we filed a new $25 million shelf registration statement with the U.S. Securities and Exchange Commission. The shelf registration statement became effective on June 24, 2020, and replaced the company's prior $100 million shelf registration statement that was set to expire on July 5, 2020. A parallel $25 million preliminary short-form based shelf prospectus was also filed in each of the provinces of Canada other than Quebec on June 22, 2020, which is still under review by the British Columbia Securities Commission. At the same time, the company also amended its existing $10 million at-the-market offering with H.C. Wainwright, which originally became effective on November 22, 2017, to incorporate certain representations and warranties of the company and other information in relation to the filing of the new shelf registration statement and to remove the termination date of August 31, 2020. Going forward, the ATM agreement can be terminated by either H.C. Wainwright or Vista upon proper notice under the terms of the agreement. 
 It is important to note that the shelf registration statement and the ATM agreement are part of the company's ongoing business practice to maintain current financial instruments without any incumbent obligation for their use. 
 Let me turn to matters related to Mt Todd. In June, we announced positive results of ongoing geological evaluations at the Mt Todd gold project, which is located in the Northern Territory of Australia. This initial phase of evaluations focused on areas within and adjacent to the Batman deposit extending Northeast to the Quigleys deposit. Results demonstrated greater potential for continuity of gold mineralization along a 5.4 kilometer strike length. Although these results are preliminary in nature, the recent work by our geologic team to understand the connectivity of the Batman deposit to the gulf tell us -- and Quigleys deposits indicates potential for district continuity. As we evaluate this potential, combined with the continuing improved gold prices, it is possible for us to envision a 20-plus year mine life for the Mt Todd gold project. 
 Changing to permitting. We continue to work with the Northern Territory division of mines on the approval of the Mt Todd project mine management plan, which is the equivalent of a mine operating permit in North America. In March of this year, we were asked to provide a number of independent assessments of our designs and operating and closure plans. These assessments have been favorably completed, and final corresponding documents are in the process of being submitted. We are hopeful that in the coming months, we will receive the final approval of the mine management plan. Once approved, Vista will then hold all of the major projects -- or major permits for the Mt Todd project. 
 Moving on to our share price performance. Vista shares are up approximately 66% year-to-date. Our shares, like most companies, were negatively impacted during the initial phases of the COVID-19 pandemic but have since rebounded with the increase in the gold price. Vista continues to enjoy strong leverage to the price of gold, in part due to the significant improvement in Mt Todd project economics that correspond to relatively small improvements in the gold price. Since November 13, 2018, the date that Golden broke out of its horizontal trend, through July 29, 2020, the gold price has improved by approximately 61%, while Vista's share price has improved by approximately 173%. This is nearly 3x the improvement in the gold price on a percentage basis. This compares to the value of the GDXJ improving by approximately 2x improvement in the price of gold over the same period. 
 Looking ahead, Vista continues to advance and derisk Mt Todd and is well positioned in the current gold environment to consider prospective development partners who, we believe, will recognize the value of Mt Todd and appropriately reward shareholders. We continue to believe that the debt and dilution needed to build Mt Todd on a stand-alone basis is not in the best interest of our shareholders. Our objective is to achieve a valuation for Mt Todd that is reflective of the size of the deposit, together with its location in Australia's low-risk Northern Territory, favorable low operating cost, robust project economics and the fact that we have approvals for all major environmental permits. We believe these factors, coupled with the technically advanced stage of the project and excellent infrastructure, place Mt Todd on the short list of the most attractive development-stage projects in the world. In -- the 2019 preliminary feasibility study provides a solid basis for engagement with prospective development partners, and current market conditions demonstrate the robust economics of the project. Our goal is to provide appropriate reward for our shareholders. 
 In addition to seeking a strategic partner, we will continue to derisk Mt Todd in a cost-effective manner, work with the Northern Territory Department of Primary Industries and Resources to receive authorization of the Mt Todd mine management plan and monetize other noncore assets opportunistically. 
 Finally, with the continued improvement in gold price, we are evaluating the positive impact of higher gold prices on mine plans and project economics. 
 In conclusion, we find ourselves in a market with record gold prices and governments around the world on the cusp of approving additional stimulus packages. We believe this bodes well for sustained improvement in the gold price in the coming 12 to 24 months. The work we have completed over the past several years has positioned our Mt Todd gold project as the largest single-deposit undeveloped gold project in Australia with 5.85 million ounces of gold as proven and probable reserves. Vista controls the third largest reserve package in Australia. Our 2019 preliminary feasibility study demonstrated a net present value at a 5% discount rate of $823 million with an internal rate of return of 23.4% at a $13.50 gold price and using a USD 0.70 per AUD 1 foreign exchange rate. At the current gold price of approximately $1,950 and a foreign exchange rate of USD 0.715 per AUD 1 dollar, the project economics demonstrate an after-tax NPV 5% discount rate of more than $2 billion and an internal rate of return of 45.3%. 
 Mt Todd is ideally located in the Northern Territory of Australia with paved roads to the site and other existing infrastructures such as power lines and natural gas pipeline, freshwater storage reservoir and tailings impoundment facility. The project improvements we have achieved along with our estimated reserve and production profiles have created the foundation for the leverage to gold price and improved shareholder value. We have earned the trust of local stakeholders and believe that our social license is firmly in hand. We've worked hard to secure the authorization of the major environmental permits and are now focused on gaining the authorization of the mine management plan. We believe Mt Todd is a superior asset located in a politically stable and mining-friendly jurisdiction and one of the most attractive development-stage gold projects not just in Australia but in the world. I reiterate our commitment to finding a partner to advance the project and, at the same time, realize value for our shareholders. 
 For a more comprehensive assessment of the value accorded to Vista and the Mt Todd project, I refer you to our corporate presentation, which can be found on our website at www.vistagold.com. We believe that Vista Gold represents an exceptional investment opportunity for the gold investor looking for value, growth potential, low geopolitical risk exposure and strong leverage to the gold price. 
 We will now respond to any questions from the participants on this call. 
Operator: [Operator Instructions] First question will come from Heiko Ihle with HCW. 
Heiko Ihle: Good quarter. Just according to your news releases throughout 2020, I mean, you've got a bunch of money coming in from Awak Mas and all the other stuff. Let's talk a little bit about exploration for the rest of the year, if you could. How much do you think is going to happen for the remainder of the year? And how much do you plan on spending on that, please? 
Frederick H. Earnest: Yes. Thanks for asking, Heiko. As a result of the geologic evaluation that was discussed previously on the call, we've identified 2 areas of interest immediately adjacent to the currently designed Batman pit. We completed surface mapping and sampling and have planned a modest program to test both of these targets, which, if successful, would be expected to immediately add a small number of ounces to the project resources and could form the basis for future mine design changes given that they're on the very limits of the pit. Furthermore, this drilling will mark our first efforts to establish continuity of the deposit trending to the Northeast. Right now, we contemplate spending approximately $430,000 on this first small drilling program through the end of the year. 
Heiko Ihle: Okay. And completely unrelated to this -- and I'm sorry for jumping around like that. Can you just walk me a little bit through -- and I asked the same sort of kind of question on the last conference call. This whole COVID-19 thing that's been putting everything into disarray, can you just sort of walk me through costs and expenditures and just general corporate impact from that? What are you seeing? I mean from the best of my understanding, Australia is still closed. All the planes can only have 30 or 50 people, and it's tough to travel around and see things. Can you just sort of walk me through impacts on the company, please? 
Frederick H. Earnest: Yes. Absolutely. The -- financially, the impacts of the COVID-19 pandemic to Vista Gold have been minimal. We have our compliance costs in Australia. And as we indicated on the call, Mt Todd is considered a critical business, and we have a government-approved COVID-19 management and mitigation plan. The cost of implementing that plan was no more than $1,000. It was really the purchase of additional personal preventive equipment, masks and... 
Heiko Ihle: Sorry. Did you say $1,000? That's it? 
Frederick H. Earnest: $1,000. Yes. It's very minimal. And so the site management and our activities there have been largely unaffected. The biggest thing that's happened is that our weekly crew changeover has happened by videoconference rather than everybody being together at site at the same time, which has been our operating practice in the past. Here in the Denver office, we have adjusted work schedules so that -- in accordance with government regulations here in Colorado, that no more than half of our staff is in the office at any given time. We -- that means that we work here in the office 3 days a week, and we work remotely from home 2 days a week. We communicate on a daily basis by Zoom video conference calls, and we do the same thing with our team in Australia. So our ability to adapt has been actually quite easily implemented. 
 The -- here in Denver, the financial impacts have been slightly different. We've actually received significant benefit from the limitations on travel, and our travel expenses are considerably lower than budget as we've not had any corporate travel basically since PDAC the first week of March. As you may be aware, international travel to and from Australia and parts of Europe are essentially shut down. And as such, we've not been able to travel at all, and we've replaced the usual face-to-face contact that we would have with team members and investors with video conference calls. We have made some small investments in technology here in the Denver office, video conferencing equipment and, in some cases, the same for team members' homes. But I would say that our total cost for compliance and adjustment to the COVID-19 pandemic here in Denver has been less than something on the order of $2,500 to $3,000. So on a corporate basis, we've spent less than $5,000 to be -- to adapt to conditions of the pandemic, Heiko. 
Operator: The next question will come from Adrian Day with Adrian Day Asset Management. 
Adrian Day: Two questions, if I may. The first question, you talked about the $430,000 on this new drilling program, which is good to see. But can you tell us the totality of what you're expecting to spend in the coming year both on Mt Todd and also on G&A in general? 
Frederick H. Earnest: Yes. I'm going to turn that question to Doug Tobler, our CFO, for a response. 
Douglas Tobler: Great. Adrian, nice chat. So our ongoing run rate is going to be essentially the same if you went back and took the previous 4 quarters. So in round numbers, you're looking at a holding cost -- or a run rate cost for the whole corporation, including the normal things we do at Mt Todd, of about $6 million per year, so $1.5 million per quarter. Then a program like this, $430,000. Of course, that would be on top of that. 
Adrian Day: Okay. And that's about half and half G&A and Mt Todd? 
Douglas Tobler: Yes. Yes. Yes. The relationship would be almost static for the last year. 
Adrian Day: Okay. I just thought it might have gone down a bit since you finished some pretty critical issues at Mt Todd. But my second question is you've obviously done an excellent job of raising cash from noncore assets over the years. But -- and it's been a little bit, if I may use the expression, or it's appeared to be a little bit of sort of hand-to-mouth. You've always managed to succeed in putting a rabbit up perhaps somewhere. But of course, we're running low on remaining rabbit, if you want. And I just wondered 2 things. One is that there's been -- with the increase in the price of gold, if there's been any increased interest in the mill. Maybe too soon yet. And then the second thing is on Midas. You're no longer a reporting shareholder. Would you at least announce to the market when you have sold everything in Midas? 
Frederick H. Earnest: I'll respond to the question about the mill equipment, and I'll let Doug respond to the part of the question on Midas and our ownership thereof. With the increase in gold price, we have not yet seen -- and when I say increase in gold price, I'm talking in the last, say, 6 weeks or 8 weeks. I would say that with the improvement in gold price that we saw at the end of 2019, that we were seeing an improvement or an uptick in interest in the mill equipment that we have. And we had a number of visits and inquiries in the first quarter of the year. Much of that interest has gone quiet as a result of the COVID-19 pandemic expansion projects. And other activities that were driving the interest in the project have died down. Some of the engineering work has been put on hold. And so the COVID-19 pandemic has -- and the limitations on travel have had an impact on that. 
 Now having said that, I expect that as -- in the coming months, as things start to open up, and certainly we all hope that they will, that, that interest will revive. I think that the improvements in gold price over the last 4 to 6 weeks will also start to drive a little bit of interest, but we've not seen an uptick in that interest as of today, Adrian. 
Adrian Day: Okay. Okay. No. That makes sense. 
Frederick H. Earnest: So with regards to the Midas shares, I'll turn it over to Doug. 
Douglas Tobler: Yes. So the Midas information, you're right, we're not required to report that information outside of what we would put in our 10-Qs and our 10-K. And we do have that in the footnotes of the documents. So at the end of June, we still had 4.7 million shares of Midas. 
Operator: [Operator Instructions] The next question will come from [ Layne Forcamp ] with [ Premier Enterprises ]. 
Unknown Analyst: I have just a 2-part question about the Mt Todd project. First, I'm very glad to hear you have the environmental permits approved. That's always a fun hurdle. So first of all, what's the conservative time frame in which you believe the mine management plan will be approved for the Mt Todd project? Do you have a feel for that? 
Frederick H. Earnest: We're hopeful that within the coming months. And we -- like I indicated in the prepared portion of the call, in March, we were asked to prepare and submit independent assessments of our designs and operating and closure plans. Those have all been completed. We're hopeful that within the next 5 business days, that all of those -- the associated documents will be in the hands of the government. And with that, we believe that we're nearing the end of the review process, and that drives the optimism that we're within a number of months. I would hope that sometime late this quarter or early fourth quarter that we would have that authorization. 
Unknown Analyst: Great. And then part 2 to that then would be, once the mine management plan is approved, how long will it take roughly to ramp up to full production with your existing equipment? 
Frederick H. Earnest: So there is no existing equipment at Mt Todd. This will be a... 
Unknown Analyst: Or I should say existing plan, sorry. 
Frederick H. Earnest: Yes. So the plan is, as we indicated, to attract and enter into an agreement -- a transaction with a partner for the development of the project. And we've been working on this since near the 1st of the year. The COVID-19 pandemic has definitely slowed that down. Doug and I had planned to be on the road in parts of Australia and Southeast Asia. The first weeks of February, as the pandemic broke and airlines started restricting travel and canceling flights, we ultimately canceled all of that. We have since been successful in reaching out to a number of parties. We've signed confidentiality agreements with a number of entities who are conducting due diligence, and we expect that we will sign more confidentiality agreements in the coming weeks and months. 
 Having said that, the due diligence process is a -- can be a lengthy process. And right now, with travel restricted to Australia, that may have an impact. So taking that into consideration, I think that it would be reasonable to expect that sometime early next year, we would be in a position to have an agreement with a potential partner. And from there, it would be the exercises of completing final feasibility study evaluations, undertaking financing discussions. Construction itself, as noted in our preliminary feasibility study, our engineers think that it could be completed in 18 months. We've allowed 24 months from the start of construction through to the start of production and then a 6-month ramp-up to achieve full-scale commercial operations. 
Operator: The next question will come from [ Shaun Drake ], a shareholder. 
Unknown Shareholder: You kind of answered both questions with the last gentleman so I appreciate that. [indiscernible] operational permit because of COVID, still following that process at all? And my second part of the question, is COVID further affecting the potential partners coming into the site? 
Frederick H. Earnest: Yes. So the COVID-19 pandemic has only minimally affected the work we're doing to get the mine management plan approved. We're fortunate in the regard that the evaluation of the study was well advanced, and the work that we have been asked to complete has only nominally been impacted. We've had one particular consultant, that their particular office and jurisdiction requirements have limited their ability to complete work in as timely a manner as what we had expected. And it's been one of the -- I suppose one of the reasons for the delays in getting these assessments completed and into the government. 
 With regards to the impact of the pandemic on finding a partner, the impact is more pronounced. Our inability to travel and meet people face-to-face has slowed the process down, combined with the fact that a number of the companies and groups that we would -- hope would take interest as potential partners have likewise been impacted. Producers in Australia were aware of a number of cases where, through the period, late March, April, May, their business development teams were retasked as COVID-19 management teams and were not doing any business development work. And so our calls went largely ignored and unanswered. 
 We're starting to see a bit of a change in that regard that we have had in the last month, 6 weeks, a number of very interesting calls. And so we're seeing a change in that regard. The next challenge, though, is, as I indicated previously, is the site visits and completing the due diligence. And right now, travel to Australia continues to be restricted. And as such, those entities that have operations or staff, engineering people, technical teams within Australia have a distinct advantage provided that they're not in the states of Victoria or Sydney. Those areas are restricted from traveling to the Northern Territory at the present time due to the uptick in the number of COVID-19 cases. But people in Perth can travel to the Northern Territory. In some instances, people are still required to self-quarantine for 14 days. So there's some challenges around that. 
 However, all of the data review, the -- and there's an exhaustive amount of information available for Mt Todd. All of that can be completed remotely. But when it comes to the actual site visits, walking the ground, meeting with people, being able to see the rock, et cetera, the pandemic is still having a significant impact on our ability to accomplish that part of the due diligence process. 
Operator: The next question will come from [ Henry Westendorf ], a private investor. 
Unknown Attendee: I'm wondering if you could elaborate a little bit on what partner means when you're looking to partner. This could range anywhere from selling the project over to you guys doing the project and they just saved the money in, and there's probably a half a dozen stops in the plant. What are you looking for? What's best for the shareholders? 
Frederick H. Earnest: That's a very insightful question. When we say we're looking for a partner to help advance the project, we're looking to enter into an arrangement, an agreement with another party, whereby they would acquire upfront a significant part of the project. And ideally, for us, it would be a 50-50 arrangement, it may end up depending on the partner. For example, if it was a senior producer, a well-established name in the gold producer sector, that we would end up at something less than that. Our goal is to receive a sufficient amount of cash or a consideration upfront that we would then be able to fund our proportional share of the development of the project with very little or no dilution to our shareholders. 
 Now the partner could be a senior or a large mid-tier producer. It could be a strategic financial interest of one of any number of different flavors. And as you astutely pointed out, it could mean that we, as a partnership, develop the project with the partner, in the case of the partner being a senior producer driving the boat and being the one that makes a lot of the decisions and provides a lot of the personnel for the development and construction of the project. Or on the other end of the spectrum, if it's a strategic financial partner, it could be that Vista would be expected to build the development and construction team and ultimately operate the project. At this point in time, we're agnostic as to which type of partner we end up with. We're talking to many different groups and companies. And the idea right now is to help individuals understand the intrinsic value of the project with the goal and the objective of achieving the greatest realization of value for our shareholders that's possible. 
Unknown Attendee: When you mentioned the $2 billion net present value at $1,950 gold, that's something that eventually would be shared between the partners or -- I'm trying to figure out how that equates to what you might develop with a partner. 
Douglas Tobler: Yes. So if you took the -- this is Doug Tobler, by the way. Nice to chat. If you took our feasibility study, we're looking at a 13-year mine life presently, and we're looking at a little bit better than 400,000 ounces per year, almost 500,000 ounces in the first 5 years. So if you use the 50-50 joint venture as an example, then on the construction side of things, as Fred said, we would expect to see a consideration come to us through the joint venture arrangement that would effectively fund all or most of Vista's cost to participate at that percentage. Then if it's a major -- we don't have any belief that a major is going to ask us to build it. Of course, they're going to bring in their expertise, and that's part of the reason you're bringing a major. 
 On the other side, we're in this organization have the ability to do it. All of us have been involved in construction projects in the past. So a financial investor would really be more putting up the funding, with us being a development partner. So that path depends on how it goes. But the relationship after that would be there would be an operator, they would run the day-to-day operations. We would have a Management Committee. And depending on the ownership structure, that would determine effectively how many votes you have sitting at the table. And in certain decisions, you would have super majorities. For example, plant expansions typically require a super majority because it's a new capital investment. But that's years down the road. 
 Then as the mine goes into operations, each party takes credit for and receive the financial benefit of their respective number of ounces and covers off their respective portion of share of the operating expenses. So 50-50 deal, then we'd be looking at, to Vista's credit, for the first 5 years, something in the order of 250,000 ounces of attributable gold. And life of mine, something fractionally over 200,000 ounces a year. So that would be our objective, is once the project is built, we've done minimal dilution to our shareholders and yet hang on to something of that magnitude as attributable to us. And I think if you go out and look at valuations around 200,000 ounce gold producers, that's where we'd like to get to. And that number will change over time depending on what the gold prices are. But right now, being a 200,000 ounce producer would be a very nice aspiration for Vista. 
Unknown Attendee: Last year -- or one of the recent calls, you talked about Vista's share price compared to the share prices of other players with similar -- if there are any, but equivalent projects. And my vague recollection is that you were way on the low end of the scale compared to other alternatives that the partners might have. Does that sound familiar? 
Douglas Tobler: No. We don't have the presentation or numbers in front of us. But broadly speaking, our multiple as a percentage of the net present value of the project is quite low, typically somewhere in the order of 0.1x spot price to the NAV of the project, sometimes slightly less than that even where it's at now because the gold price has gone up so substantially, driving the NPV up. What the -- what we're trying to accomplish, and when we talk about getting value for our shareholders, is building a bridge from being an undervalued developer that -- frankly, the ticket for this project is bigger and would cause the dilution that we don't want to give shareholders. So we're trying to build a bridge with a joint venture partner, whereas the joint venture transaction is accretive to the shareholders. But ultimately, the objective would be to get into that producer category, where you could be looking at -- I think the range right now is somewhere between, say, 0.7 and a little bit over 1x your price to NAV. And getting there is the magic of what we're trying to do with the joint venture partner. So we would effectively be doing a 2-step approach. Get a joint venture partner that's accretive to our shareholders in the near term, and then have a longer-term opportunity to see a producer feed in NAV type rerating. So -- and all the while trying to not do a massive dilutive event to our shareholders. 
Operator: [Operator Instructions] Showing nothing further in the queue at this time. 
Frederick H. Earnest: Very good. Thank you, Brandon. And especially thank you to all of you who have been on the call today. And for those of you who've asked questions, they've been very interesting and insightful questions. As I indicated earlier in the call, we find ourselves in a very interesting period of time with regards to the gold markets. And current market and global conditions suggest that the gold price will remain strong and continue to improve in the coming 12 to 24 months, and I think that, that bodes very well for the project and the value of the project. 
 As I indicated, the leverage to the project -- the leverage of the project for the price of gold is tremendous. With roughly a $600 improvement in gold price, we have seen almost a tripling in the value of the NPV of the project, probably more like 2.5x. But the important thing is that I think this is one of the things that distinguishes Vista Gold from many of our peers, is this tremendous leverage that we have to the price of gold. And I would simply reiterate that if an investor is looking for an opportunity to invest in a project that's in a safe jurisdiction with tremendous value that can be unlocked and growth potential and strong leverage to the price of gold, Vista Gold represents the kind of investment that you should be looking at. And we here as the management team at Vista appreciate the support of our shareholders. And for those who are contemplating an investment in Vista, if you have further questions and would like to visit with a member of the team, please feel free to reach out to us. 
 We thank you for your time this afternoon, and we look forward to being able to chat with you again in the future. Thanks, everyone. 
Operator: Thank you, ladies and gentlemen. This concludes today's event. You may now disconnect your lines.